Operator: Good day, everyone, and welcome to the Planet 13 Q1 2025 Financial Results Conference Call. Just a reminder, today's call is being recorded. At this time, I would like to hand the call over to Mr. Mark Kuindersma. Please go ahead, sir.
Mark Kuindersma: Thank you. Good afternoon, everyone, and thanks for joining us today. Planet 13 Holdings' first quarter 2025 financial results were released today. The press release, the company's quarterly report 10-Q, including the MD&A, and financial statements are available on the SEC website, EDGAR and SEDAR+, as well as on our website planet13.com. Before I pass the call over to management, I would like to remind listeners that portions of today's discussion include forward-looking statements. Forward-looking statements in this conference call are made as of the date of this call. There can be no assurances that such information will prove to be accurate so that management's expectations or estimates of future developments, circumstances or results will materialize. Risk factors that could affect results are detailed in the company's public filings that are made available with the United States Securities and Exchange Commission and on SEDAR+. We encourage listeners to read those statements in conjunction with today's call. As a result of these risks and uncertainties, the results or events predicted in these forward-looking statements may differ materially from actual results or events. In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to today's press release posted on our website. Planet 13's financial statements are presented in U.S. dollars and the results discussed during this call are in U.S. dollars unless otherwise indicated. On the call today, we have Larry Scheffler, Co-Chairman and Co-CEO; Bob Groesbeck, Co-Chairman and Co-CEO; and Dennis Logan, CFO. I'll pass the call over to Larry Scheffler, Co-Chairman and Co-CEO of Planet 13. Larry, go ahead.
Larry Scheffler: Hello, everyone, and welcome. We appreciate you taking the time to be with us. I'll start with a look at our operational performance before handling -- handing things over to Dennis for a deep dive into our financials. Bob will then take you through how we're adapting and executing on our strategy in today's volatile environment. In Q1 2025, the superstore, including DAZED!, delivered $11.2 million in revenue. Q1 was a challenging quarter in Las Vegas, with our visitor volume, per the Las Vegas Visitors Authority, reported down 7% year-over-year in what is already a seasonally low part of the year. This translates into cannabis sales statewide for all operators down 9% year-over-year with a disproportionate impact on the Las Vegas area. Despite the broader headwinds, our teams executed with discipline. Our diversified product mix, uniquely -- unique celebrity-focused products and events and superior allocation are helping us defend our market share. Revenue from our neighborhood store network came in at $13.4 million, reflecting a 5% sequential decline from Q4, largely driven by seasonal trends. Declines in Nevada, California and Illinois were offset by encouraging growth in Florida. This is early signs of the impact we're seeing from the upgrades and improvements we started making late last year. These new cultivation rooms are producing significantly improved flower, quality, potency and yield, which is fundamental to us regaining the market share in Florida, a core priority to us. Across the superstore in our neighborhood network, total retail revenue reached $24.6 million compared to $26.9 million in Q4 2024. While this market is certainly challenging, we are pleased with our relative performance, especially in our core states in Nevada and Florida. We've generated $3.4 million from wholesale in Q1, consistent with $3.4 million in Q4. In a quarter where both our wholesale markets were down over 3% sequentially, this is a strong performance illustrative the difference of our branded products in Nevada. Our performance was led by our Medizin and HaHa brands with both -- which both saw strong growth year-over-year. In addition, we augmented our popular in-house brands with celebrity brands that have significant built-in customer following like Khalifa Kush. In California, our performance is driven by our ability to flex a low-cost cultivation facility in California to maximize our yields. While consumer softness and industry-wide price compression continue to pressure the market, we remain confident in our ability to execute backed by commitment to product quality and brand strength, excuse me, we are taking proactive measures to adapt, innovate and reinforce our leadership in this dynamic environment. With that, I'll turn it over to Dennis to walk through our financials.
Dennis Logan: Thank you, Larry. In Q1 2025, Planet 13 generated $28 million in revenue, up from $22.9 million in revenue in Q1 2024 and down from the $30.3 million we generated in Q4 of 2024. The sequential decline mimics what happened across most of our markets with Nevada, California and Illinois being down sequentially, driven by seasonality, consumer weakness and persistent pricing pressure. The year-over-year increase was a result of the inclusion of revenue from our acquisition of VidaCann, which closed in May of 2024 and was not included in our Q1 2024 results. Looking forward, we expect the operating landscape to remain volatile, shaped by sustained competition and pricing pressure that will likely continue to affect top-line performance. Industry dynamics are being further disrupted by the growing prevalence of intoxicating hemp products and ongoing illicit market activity, particularly in California and Nevada. These challenges are compounded by the notable decline in tourism in Las Vegas and heightened competitive activity in Florida. Gross profit was $12 million in Q1 2025 compared to $13.1 million in Q4 of 2024. This translates into a gross margin of 42.8% in the quarter compared to 43.2% in Q4 of '24. Gross margin continues to be under pressure industry-wide, driven by price compression across all our markets, with price down for equivalent grams on average of around 5% year-over-year. On the positive side, we are seeing improved product quality coming out of our Florida cultivation facility from the recently completed upgrades. This will help us reduce the amount of discounting in the state and drive gross margin expansion for us across our store network. Sales and marketing expense increased marginally to $1.5 million in Q1, up from $1.4 million in Q4. The increase in expenditures can be attributed to specific marketing actions in Nevada along with costs associated with transferring the VidaCann website and e-commerce platforms to the Planet 13 platform. G&A was down marginally from $14.1 million in Q4 to $14 million in Q1 2025. At the end of the quarter, we initiated a comprehensive cost-saving program aimed at driving long-term operational efficiency and preserving cash in the more challenging macro environment that we're in. These efforts span across our organization and include streamlining our supply chain, renegotiating and consolidating vendor relationships, reducing discretionary spending and optimizing our workforce structure. While some of these actions have resulted in near-term restructuring costs, we expect to realize meaningful savings over the next several quarters. Revenue deleveraging we saw this quarter ahead of the actions we have taken to right-size the cost resulted in adjusted EBITDA loss of $2.5 million. Our goal is to rectify this in the quarters to come by aligning our costs and focusing on our most productive and profitable assets. Turning to the balance sheet. As of March 31, 2025, the company had a cash balance of $17.6 million. In addition, as part of the El Capitan lawsuit, we have a property that we are in the act of selling that is currently valued on our balance sheet at just over $4.5 million. We are significantly slowing our CapEx plans for the year as we've largely reached the retail footprint in Florida that we are happy with. As of the quarter-end, we had approximately $10 million in short-term debt outstanding, and subsequent to the quarter, we successfully refinanced $5 million in notes payable originally due April 1, 2025, under the terms of the VidaCann acquisition agreement with a local banking partner. With reduced capital expenditure requirements, greater flexibility in our debt obligations and a company-wide cost reduction initiative underway, we are sharply focused on improving cash flow and strengthening our balance sheet. With that, I'll turn the call over to Bob to discuss the steps we are taking that is focused on profitability.
Bob Groesbeck: Thank you, Dennis, and good afternoon, everyone. We entered 2025 with a realistic view of volatility in the cannabis market. Consumer environment remains challenging, as mentioned earlier, pressured by macroeconomic uncertainty, price compression and an increasingly competitive landscape across many of our markets. Yet, we've seen these cycles before. This team has proven it can navigate turbulence, make the tough decisions and emerge stronger. That's exactly what we're doing. The cannabis industry is evolving quickly, and we're evolving with it. We are executing a focused, disciplined strategy centered on profitability, operational efficiency and free cash flow generation. Starting with our two core markets: Florida and Nevada. We're conducting a full bottom-up review of our portfolio, state by state, asset by asset, dispensary by dispensary. This is a comprehensive realignment effort with a clear mandate: optimize margins, enhance efficiency and improve returns on every dollar of capital deployed. Since the end of Q1, we've already taken decisive steps to right-size our cost structure, aligning with current revenue levels and market reality. We're driving greater accountability and visibility across every layer of the business through corporate overhead, cultivation operation. At the same time, we are doubling down on what is working: our profitable core markets of Florida and Nevada. Florida continues to be our most important growth and profitability engine. In Q1, we expanded our retail footprint by opening three new dispensaries, increasing our market reach to cover the majority of the state's population. At the same time, we completed a major upgrade of our cultivation and manufacturing infrastructure. The improvements in yield and potency from our enhanced cultivation rooms have exceeded our expectations, boosting THC content and improving grams per square foot. These enhancements are already translating into improved competitiveness, reduced reliance on promotional pricing and healthier gross margins. The next unlock is our investment in targeted automation, particularly in post-harvest processing and packaging, improve throughput and cost efficiency. These upgrades will allow us to better match our SKU mix to consumer demand, including broader size formats for flower, pre-rolls and vape cartridges. Everything we're doing in Florida, whether it's expanding retail, upgrading infrastructure, or improving product mix is focused on one thing: generating more cash from every dollar of revenue. Turning to Nevada, our other core market. We remain focused on maximizing cash flow and sustaining our leadership position in a competitive retail environment. Our partnerships with celebrity and entertainment brands continue to differentiate us and attract new customers. We are actively leveraging these alliances to deepen loyalty and capture incremental market share while optimizing costs across our dispensaries and cultivation facilities. We're balancing our tourist-focused offering, which dominates Thursday through Sunday with a more local-focused offering mix during the rest of the week, prioritizing what matters to our everyday shoppers, good products at low prices. Across the company, our operating mantra is simple, do more with less. While these changes won't yield results overnight, we are confident that they will materially improve our profitability and cash flow profile over the coming quarters. We remain disciplined in capital allocation, focused on cash flow, and committed to building a leaner, more resilient business. As the year progresses, we expect to return to profitability led by rationalization of assets, enhanced cultivation yields, tighter cost control, and smarter retail execution. We are not chasing growth for growth's sake. We are prioritizing durable capital efficient performance. To our employees, we want to say thank you for your resilience and commitment during this period of transformation. To our customers and patients, we remain dedicated to delivering high-quality cannabis products and outstanding service. And of course, to our shareholders, we appreciate your continued trust as we execute our plan to drive long-term value for the company. And with that, I again want to thank everybody for participating today, and I'll now -- I'll turn it over to the operator and open the line for questions from covering analysts.
Operator: Thank you, sir. [Operator Instructions] We will take a question from Frederico Gomes, ATB Capital Markets.
Frederico Gomes: Hi. Good evening. Thanks for taking my questions. First question on your cash flows, negative operating cash flow this quarter, obviously, a very tough environment. Do you expect to turn positive cash flow from operations through the year? How do you see that progressing? If you could help us understand the drivers here that will take you there? Thank you.
Dennis Logan: Hi, Fred. Thanks for the question. It's Dennis. We do anticipate being cash flow positive operationally, obviously, excluding any 280E tax payments, how we're filing. So, take that out of the equation. We are reducing costs [indiscernible] at the retail level, wholesale level, at the cultivation level, as well as rationalizing our overall cost structure and trying to deliver more with less. We are making progress. April was promising as we instituted these changes. And I think we're aiming to be cash positive from operations from Q2, Q3 for sure. So, our goal is Q2. And then, kind of going forward, we are laser-focused on minimizing any planned CapEx. As we said, we've got the store network in Florida fully built out to where we wanted to be. We have one upgrade in Florida that we're working on, but largely all the remaining CapEx in our other markets are finished and finalized. So that's sort of the plan go-forward for the year.
Frederico Gomes: Got it. Thanks for that. Second question on your Nevada acquisition, I can see that you decided to not move forward with that. Can you talk about why, what drove that decision?
Dennis Logan: It was really -- we were -- from a technical perspective in the discussions, I don't want to get into the detail on it, but suffice it to say, we contractually didn't meet the conditions that we put into the acquisition agreement. And given where the market had gone to, we decided that it was in our best interest at that point to not to renegotiate the acquisition. The Nevada market, as Larry indicated, has been very challenging. Q1 more so than usual with the sequential declines in visitors in an already slow seasonal period. So, I think we made the right decision there, saving that cash on the balance sheet for operations and go-forward in Florida. And so, focusing on existing operations in Nevada and Florida network as the main focus.
Frederico Gomes: Perfect. And then, final question for me here. How should we think about the assets that you have -- the operations that you have in California and Illinois given that they don't look like their core assets? How should we think about that in terms of profitability and your strategy to regarding those two states? Thanks.
Dennis Logan: Bob, do you want to take that one or do you want me to keep going?
Bob Groesbeck: Yeah, let me jump in. Yeah, thank you. That's kind of -- as I indicated in my comments, that's part of our comprehensive review of all of our business units, including California. California has been a drag for quite some time on the balance sheet. It's a very difficult market, very challenging. There are some bright spots there, but again, we're not married to anything. Moving forward, if they're not making money for the company, then we're going to look at alternatives. And California is not unique in that respect. It's the same with Illinois. We're taking a very deep dive to see what fits within the portfolio as we move forward.
Frederico Gomes: Perfect. Appreciate the color. Thank you.
Operator: The next question is from Pablo Zuanic, Zuanic & Associates.
Pablo Zuanic: Thank you. Good afternoon, everyone. Just understand better in the case of Florida, what's the upside here going forward? So, it seems like you're going to stop at 33 stores, but you have all these cultivation improvements that are coming through. But can you put a number on that in terms of are you expanding rooms? Are you -- do you still have room to improve yields? Are we talking about doubling of output, a 50% increase? If you can try to quantify that? And related to that, at what point do you start rolling in more brands from your portfolio in Florida, or has that already happened? Thank you.
Bob Groesbeck: Well, let me jump in, and Dennis, you can get a little more detail with Pablo. And Pablo, good to talk to you. Yeah, on the brand side, we are moving brands into the market now. We've seen a lot of our genetics have now gone through the system. We've received approvals from OMMU recently. For instance, we just got our Dreamland product lines approved. So, we're moving ahead aggressively to start getting products to the shelves. It's a slow process down there as you certainly know, and it takes a long time to get approvals. But we're comfortable with the strain mix that's coming in. We've brought a lot of genetics in from Nevada that are adapting quite well to that grow environment. And the cultivation side of it is, as we said and Dennis can talk more to the specifics, but these were substantial improvements to multiple rooms with the latest state-of-the-art LED lighting, cooling and environmental control, and we're seeing substantial increases in not only potency, but yield. And we're very excited about that because we didn't have that last year. And so, we're starting now -- we're in a position where we can actually feed the store network with quality products consistently. We're not running out like we were last year. So, a lot of upside there. And again, integrating the new stores into the Planet 13 family has been a bit challenging. The new stores, it's been slow to get them rolled out, again, just because of the regulatory hurdles that we need to overcome, but we're very comfortable with the network that's in place now, and we're evaluating each and every store, including all the legacy stores. So, we're doing a deep dive analysis to see which stores can be improved upon, and we're also going to look at whether some of those we need to think about moving them out of the portfolio. So, a lot of things moving, but we're going in the right direction. Dennis, I'm going to pass to you on more of the technical on Pablo's questions.
Dennis Logan: Sure. And Pablo, just focusing on the Florida capacity question, the improvements we implemented in Florida were really meant to enhance product quality. As Bob mentioned, we got caught last summer with greenhouse grown flower in a very hot humid environment. And we saw THC testing levels drop substantially as well as the quality of the overall flower decline way more than we anticipated. The new houses have rectified that. Well, it's not premium indoor flower quality like we have in Nevada, it is vastly improved over what was there. We've had the second of the two houses that we upgraded has come online. I think we've got our first harvest off of it. So, doing the yield analysis, as Bob mentioned, it's up substantially. We have enough capacity to feed the existing store network and we do have substantial excess biomass on hand that we're going to feed into our planned BHO lab that is in the process. That's one piece of CapEx that I mentioned in my comments on the call that we're still going ahead with. And that will give us a full suite of products across our store network. Right now, we don't have the BHO concentrate products that all of our competitors do, and we're noticing patient demand for that in the Florida market. So, we would rather be a one-stop shop, given quality flower that we're getting out of our newly revamped houses as well as then have the BHO product categories in each of the stores to help draw our customers into that one-stop shopping situation. So, hoping to have that BHO lab online this year towards the end of the year. If we can accelerate it, we will, but we do have a substantial biomass to start feeding through that. And with the existing capacity, both un-upgraded grow rooms and the upgraded grow houses that we have, we have more than enough to feed the store network we have in Florida.
Pablo Zuanic: Right. Thank you. And look, I mean, this is more a comment maybe for you to comment on my comment, but -- so when we check the SKUs per store, right, the VidaCann stores have very few SKUs compared to other -- your competing stores, right, but -- from the competition, but we are beginning to see the OMMU flower numbers for you to improve significantly. So, that's been taken care of. And there's still a lot of room, however, on the non-flower side for all those extracts products. But from what you're saying, you see room to improve that in terms of SKUs later in the year. So, that's a good thing, but not in the short term, at least in terms of non-flower products. Is that correct?
Bob Groesbeck: Yeah, that's correct. I mean, we don't have -- Florida, as you know, is a fully vertical market. We don't have the capacity to go out and buy or source non-flower SKUs in the categories that we don't have, as you point out. And so, we're sort of, in the short term, we're stuck with what we have. We've done some analysis using the OMMU data on competing stores and have a pretty good idea as to what revenue we're missing on a per store basis annually from lack of those products available on our shelves. And so, again, that should generate less than a 12- to 18-month payback on the CapEx or spending.
Pablo Zuanic: All right. Thank you. And then, one for Larry. In terms of the focus on entertainment, the press releases continues to drive relative outperformance. So that's good. But can you give an update in terms of where are we with Fight Club, the focus on the apparel strategy? What's happening with that? Or when we talk about entertainment, it's mostly these celebrity-type related events?
Larry Scheffler: Well, we backed off a little bit on the Fight Club, we didn't get as much success as we had hoped for, but we're doing a lot of other things that drive more people in here and get awareness from the tourists before they even get here. So, we've implemented about two weeks ago where if you -- on TikTok, which is going crazy all over around here, if you'll do a video and show us why you come in and get a free pre-roll. Cost us very little -- very little to do the pre-roll. And we -- right now, we're getting 1,000 TikTok per week and increasing. So that's been a huge success for us since the -- all the younger generation doing so much of the TikTok videos on what's going on. We're continuing to enhance that. We think it will be a big plus. So that's one what we're trying to kind of think outside the box and do more guerrilla marketing, which we're doing. We're also implementing a lot of, I'd like to say, guerrilla marketing on the EDC, pushing a lot for our consumption lounge, where we're hoping to even have that max out over this weekend with EDC through different guerrilla marketing tactics and where we're actually approaching the people who's getting out of [indiscernible] and so on and actually giving me a tour through the consumption lounge even if the lounge is full. As long as they post a video again, they get a discount on there or another pre-roll. We're also utilizing, and it just started today, utilizing that if they spend -- customers coming and get a $20 tattoo to from the tattoo parlor in here, and then they come into ours and spend at least $20, get a free pre-roll. They think they can flood the market [with that the several] (ph) locations that are around Las Vegas. They're going to help us promote that free of charge given the coupons out to all their customers. So, those are a few things we're doing, again, to drive the different things here in Vegas that we think are going to be a very big success.
Pablo Zuanic: Right. That's great. Because I mean, historically, the superstore has catered more to tourists, right, or it's been the bulk of the business has been with tourists, but you're saying that -- I don't know if you can track the numbers, but are you seeing a greater percentage of local buyers coming to the stores to the superstores...
Larry Scheffler: No, it's still saying the same about 80-20 for 80% tourists just because of where we are, but we want to capture more of the tourists that are coming to town. It's just so many that come in, and we'll stand and watch them even coming in the front door. And if they're amazed, they can't believe the floor -- interactive floor they walk on, then they were here for the first time. If they're that amazed with it. Otherwise, we walk across it and go inside the Planet 13. So, it's still a constant battle with the number of tourists around the world that come here, and that's why we're trying to get more people aware of what's going on. We did a survey here in the last few weeks, being a couple of other people down by the tattoo parlor. Hey, what do you guys here? Tattoo. How do you hear about the tatoo? Are you here to get cannabis? Are you going to shop for cannabis even though you're here? And every person that we've done a survey on for the tattoo parlor has been through TikTok, every single one. So, we want to capture those people that maybe who didn't come here to get a THC product or a clothing product and capture them to what I was just talking about with the coupon that the tattoo is going to help us with and capture some of those people, too. There's a lot coming in and leaving on that, that it's low-hanging fruit that we think we're able to bring in and turn into basket sizes.
Pablo Zuanic: That's great. Thank you. That's all.
Operator: We'll hear next from Paul Penney, Partner Capital Group.
Paul Penney: Hey, gentlemen. Any updates on the regulatory environment in Nevada, specifically on any efforts to curtail the hemp-derived THC products that seem to be increasingly prevalent and readily available on the strip?
Bob Groesbeck: Yeah. Hey, Paul, it's Bob.
Paul Penney: Hey, Bob.
Bob Groesbeck: Our session, of course, our legislature is in session now. Things are really kind of heating up. They've just got three weeks left, I believe. Initially, there wasn't really any significant language that we thought would rein this in, but then we did see a couple of bills that died actually were resurrected with some pretty significant hemp language, and again, we're monitoring that. We're going to just see where things go. My gut tells me that there's not an appetite to get a comprehensive bill passed this session, similar to what we just saw happen in Florida. But we're hopeful that there will be something on the books and there will be some regulatory oversight. But again, it's crazy up there. And as they get into the 11th hour, it's difficult to really gauge how things go until they actually pass out or fail.
Paul Penney: Fair enough. There has been a little bit -- in Arizona, a little bit of a change there, regulatory change that's helped the last couple of weeks. I'm sure you're watching that as well.
Bob Groesbeck: Yeah. We need all the help we can -- all the help we can get rather.
Paul Penney: Exactly. Just one quick one. When you look at potential cost-cutting efforts going forward, can you maybe force rank the maybe the three -- two to three biggest focus areas? And is there an aspirational operating margin or gross margin you guys are trying to back into?
Dennis Logan: Yeah, Paul, it's Dennis. So, we've always talked about maintaining a 50%-plus gross margin percentage across the retail network and across and higher in Nevada where we have vertical integration and sort of more control over that market environment. And so, the cuts that we are making are both at the -- on the cultivation side, controlling those costs. Obviously, it's mostly labor that we can control. We've got a lot of fixed costs in those operations and the same thing on the production side of the equation and then at the retail level, consolidating stores in the network to have one general manager run more than one store kind of thing. So, trying to optimizing revenue per employee at the retail end of the equation and maximizing yield per employee on the cultivation and production side of it. So that's sort of the core focus as well as reducing the non-cannabis SG&A and corporate overhead costs, kind of looking at everything from getting concessions on our professional fees and audit fees and tax fees through to everything in between.
Paul Penney: Perfect. Thanks, guys. Appreciate it.
Operator: At this time, there are no further questions. Ladies and gentlemen, that does conclude our conference for today. We would like to thank you all for your participation. You may now disconnect.